Operator: Good day, ladies and gentlemen. Welcome to the Compania de Minas Buenaventura Fourth Quarter 2020 Earnings Conference Call. At this time all participants are in listen-only mode. And please note that this call is being recorded. I would now like to introduce your host for today's call, Mr. Rodrigo Echecopar, Investor Relations. Mr. Echecopar, you may begin.
Rodrigo Echecopar: Good morning, everyone, and thank you for joining us today to discuss our fourth quarter 2020 results. Today's discussion will be led by Mr. Leandro Garcia, CEO. Also joining our call today and available for your questions are Daniel Dominguez, CFO; Mr. Juan Carlos Ortiz, Vice President of Operations; Mr. Aldo Masa, our new Vice President of Business development and Commercial, Alejandro Hermoza, Vice President of Sustainability; and  the Corporate Project Manager. Also available for your questions will be Raul Benavides, our Chairman.
Leandro Garcia: Thank you, Rodrigo. Good morning to all, and thank you for attending this conference call. Before we'll start this presentation, we would like to wish your family and friends, health and well-being at this difficult time. We are pleased to present the results of the fourth quarter of 2020 from Compania de Minas Buenaventura. We have prepared a PowerPoint presentation which is available in our webpage. Before we go further, please take a moment to review the cautionary statement shown on this slide two. Please consider the disclosure related to the COVID-19 pandemic. Moving on to slide three highlights were as follows; EBITDA from direct operations, reach US$59.1 million in fourth quarter 2020, compared to US$73.9 million reported in fourth quarter 2019. Fourth quarter 2020 adjusted EBITDA associated companies reached US$192,4 million, compared to US$183.7 million in fourth quarter 2019. Capital expenditures in fourth quarter 2020 were US$38 million, compared to US$39.6 million for the same period in 2019.
Operator: Thank you very much. We will now begin the question and answer session.  And the first question today comes from Carlos De Alba with Morgan Stanley. please go ahead.
Carlos De Alba: So, the first question is, you saw on CapEx, Leandro, you just mentioned. How much of the 30 to 35 is San Gabriel? And just to know how much you guys are spending on that one. The second question is regarding the ongoing dispute with the SUNAT. Can you give us an update please, what are the latest? I understand that based on the latest releases as on that matter, that the company may have to start paying some of these money. And how is the company planning on funding or financing the payments for the SUNAT? And any updates on the legal front or judicial or appeal that you are moving forward in order to try and avoid to make these payments or avoid these payments? Thank you very much.
Leandro Garcia: Thank you, Carlos. And for your first question. The CapEx considered for San Gabriel in the February are just released US$19 million. And in terms for 340 worth of related to SUNAT, there is there is no news in the legal side -- in the legal age of this controversy. We continue to dispute in the judicial area, our rights. And in terms of pay we are finishing the strategy to repay this SUNAT payment directly to SUNAT. We are -- as you imagine, we are constructing this strategy using the -- maybe we will should -- we should sell some non core assets or/and also a will we should look for financial facility in terms of loans or any other to -- we should be done this. All these strategy will be done at most in June of this year. And when we get some advance, we will inform you which are the steps we are taking of.
Carlos De Alba: Thank you.
Leandro Garcia: Maybe a Daniel can give you some color in this matter, Carlos.
Daniel Dominguez: Thank you, Leandro. Just I wanted to give a little bit more detail of the CapEx for year 2020/2021. As Leandro mentioned, we are planning to execute US$90 million. From these San Gabriel represents US$20 million. Our direct operations US$55 million and the remaining US$15 million will go to other properties like Trapiche and Rio Seco. Thank you.
Carlos De Alba: Thank you very much.
Operator:  And our next question will come from Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek: Great. Good morning, everybody. And I hope everyone is well. Thank you for taking my question. I just wanted to circle back just one more for guidance if I can. Is there any more EBITDA improvement you're expecting from the de-bottlenecking program in 2021? Or have you completed that program?
Leandro Garcia: Thank you, Tanya. Thank you. And thank you for your question. The de-bottlenecking program, it has a duration of three years. And it has end on December 2020. Now we are working on that new program, is based also in continuous improvement. But now we are focused on recover the full capacity of all our plants and our mines. And may continue to increase our -- also increase our exploration program. And for that, we need to gather all our workforce to have a better performance in our unit.
Tanya Jakusconek: Okay. So given that the focus on exploration, would you be able to give us the guidance for your exploration spend both direct and to your affiliate for 2021?
Leandro Garcia: Yes, Tanya. We can send. We can make public our guidance for exploration investment for this year considering the briefing and Buenaventura's exploration in our own mines. We will publish in our website. Perfect. Thank you very much.
Tanya Jakusconek: Okay. And just two other questions if I could. Just wanted to get to circle back on just on the assets. Can I just get an explanation on what is exactly happening at two of your mines, Tambomayo, we seem to have quite a drop in both your gold and zinc recoveries. I'm just trying to understand what's happening at Tambomayo? And then also what's happening at Uchucchacua on the silver side where the recoveries were weak there also?
Leandro Garcia: Yes, Tanya, it our pleasure. With us here we have Juan Carlos Ortiz. He can give you his information in Tambomayo and Uchucchacua issues. Juan Carlos Ortiz?
Juan Carlos Ortiz: Hello, everybody. Thank you for your question. Regarding Tambomayo, we have saw in the last quarter with one section of the mine, the level. We believe that all into the property plant and we have a different behavior from the energy front. So, we try to deal with that, because we are building gold sites. So much like virtual. That’s already on the processing plant. We expect that color from the gold site. So we didn't really change most of the profits for the remaining type and , the amount of platform that came into the processing plant. So that was really the problem that we have along with some bad luck of maintenance on PV  pit that was not properly attended during the previous quarters and even today in pandemic. So we have the two fronts at the same time made difficult for getting into the property plant. And to maintain the maintenance of the property plants. We try have some flexibility to building that support. We are working on that. We were able to do that last year and we are still working with that is require.
Tanya Jakusconek: Okay. So just going forward of these recoveries that we are expecting from these two mines, what we saw on Q4?
Leandro Garcia: For the 2031, we are arranging the arrangement for the budget. So its not part of our budget.
Tanya Jakusconek: Okay. And then my final question, I just wanted to come back on just the funding -- your options for funding your tax bill. I think, we mentioned non-core asset sales. I just wanted to try and review whether a non core asset would be your power plant? And if you would consider equity issuances as one of your options?
Leandro Garcia: Thank you, Tanya. We will not consider it within our options. We will consider a program of loan issues and the sale of some of our assets. One, can be the asset you mentioned. Once also can be converted to group or a group of them. But in that range, and those are the assets that will be divesting 
Tanya Jakusconek: Okay, great. Thank you so much. And good luck.
Leandro Garcia: Thank you, Tanya. Take care.
Operator: And the next question will come from Leopoldo Silva with LarrainVial. Please go ahead.
Leopoldo Silva: Hi, guys. Do you hear me?
Leandro Garcia: Yes, Leopoldo.
Leopoldo Silva: Okay. Thanks. Well, I guess my question is regarding reserves. I see that your Orcopampa and Tambomayo gold reserves are lower than those at the beginning of 2020. So, now that we have a higher gold prices, and that you along the year have said that you were happy with what the preliminary results that we -- that you were getting with exploration in this mines? What -- shouldn't we have expected higher gold reserves? And what happens in these two mines? What if that or maybe we've -- I don't know 1600 for gold as an average, not all the gold that you could mine at these prices?
Leandro Garcia: Yes, Leopoldo. First of all, you have to keep in mind that last year, we were also affected in the area of explorations for the COVID. So we fell behind in our programs. So going with the people to make all the drillings and all the work involved and related to exploration. However, as you say, we are very optimistic, but we didn't have the time to convert that potential in reserves or inferred reserves. So, during this year, we will have I think important increase in our targets and in our results. Maybe also from Carlos, he can give you more color in this reserves matter.
Juan Carlos Ortiz: Thank you, Leandro. Leopoldo, in the case of Orcopampa, we have San discovery as Leandro mentioned, it was later in 2020. So very few update evolve at the potential level there. We have not enough time to move all these new discoveries into the measured unlimited category to Tam - research. So we think that to leave along, but we good result to exploration of Orcopampa particularly in an area, in our operations called Moquegua. We'll keep updated that all the progress of this exploration. In the case of Tambomayo, these are very high grade. So there is no much ore between US$1800 per ounces and US$5000 per ounce. This is very high grade. So there is not much low grade operation or low grade around the debate. So that we could see the price, and literally brings new research or bitumen research in the case Tambomayo. We are working on exploration. We help them achieve insight right now. It may be a new research and delayed plant. But still a little bit delayed exploration in Tambomayo.
Leopoldo Silva: Okay. And do you -- taking that, do you believe that 2022 and the year forward could be -- you could lift the production on this mine? Or would you expect rather to maintain what you have in guidance for 2021?
Leandro Garcia: In the case of Orcopampa, we expect to keep running at around the guidance level that is about 40,000 to 45 1000 ounces of gold a year. In the case of Tambomayo, probably a little bit less than the guidance of this year, maybe around 75 and a little bit below 70,000 ounces. But we still try to work on exposure to that degree something additional. But certainly here we are going to say, the levels are less here.
Leopoldo Silva: Okay. All right. Thanks very much.
Operator:  Ladies and gentlemen, this concludes our question and answer session. I would like to turn the call back to management for any closing remarks.
Leandro Garcia: Thank you, sir. Before we finish today's conference call, I want to thank you again, for making the time to join us today. And have a wonderful day. Be safe, and see you soon. Thank you.
Operator: And thank you, sir. Ladies and gentlemen. That concludes Buenaventura's fourth quarter 2020 conference call. You may disconnect your lines. Thank you.